Operator: Hello, and welcome to Marsh & McLennan Companies, Inc.'s earnings conference call. Today's call is being recorded. Fourth quarter 2025 financial results and supplemental information were issued earlier this morning. They are available on the company's website at corporate.marsh.com. Please note that remarks made today may include forward-looking statements. Forward-looking statements are subject to risks and uncertainties, and a variety of factors may cause actual results to differ materially from those contemplated by such statements. For more detailed discussion of those factors, please refer to our earnings release for this quarter and to our most recent SEC filings, including our most recent Form 10-Ks, all of which are available on the Marsh website. During the call today, we may also discuss certain non-GAAP financial measures. For a reconciliation of these measures to the most closely comparable GAAP measures, please refer to the schedule in today's earnings release. If you have a question, please press 11 on your touch-tone phone. If you wish to be removed from the queue, please press 11 again. If you're using a speakerphone, you may need to pick up the handset before pressing the numbers. Once again, if you have a question, please press 11 on your touch-tone phone. I'll now turn this over to John Doyle, President and CEO of Marsh.
John Doyle: Thank you, Andrew. Good morning, and thank you for joining us to discuss our fourth quarter results, which we reported earlier today. I'm John Doyle, President and CEO of Marsh. Joining me on the call are Mark McGivney, our CFO, and the CEOs of our businesses: Martin South, Dean Klisura, Pat Tomlinson, and Nick Studer. Also with us this morning is Jay Gelb, Head of Investor Relations. 2025 was another good year for Marsh. We executed well against our strategic objectives and delivered solid financial results. Total revenue grew 10% to $27 billion with underlying revenue growth of 4%. Adjusted operating income increased 11% to $7.3 billion. This is on top of 11% growth in 2024. Our adjusted operating margin improved 30 basis points, marking our eighteenth consecutive year of reported margin expansion. Adjusted EPS grew 9%. We generated 25% growth in free cash flow and achieved our capital deployment objectives. We invested approximately $850 million in acquisitions and returned significant capital to our shareholders. This included a 10% increase in our quarterly dividend and a $2 billion in share repurchases, the largest annual amount in our history. We also successfully completed the integration of McGriff, our largest acquisition ever, launched our new brand, and announced the Thrive Program, all of which improve our growth profile in the years ahead. I want to take a moment to talk about our strategy and the opportunities we see. Marsh is a market leader with a proven track record of growth and exceptional performance. Our success is driven by the unique strengths of our businesses, market-leading positions, a data and analytics advantage, and most importantly, the talent and dedication of our colleagues. Looking ahead, we see an opportunity to deliver even greater value to our stakeholders. Our vision is to be the most impactful professional services firm in the world—not just in insurance, but across risk, reinsurance and capital, health and talent strategies, investments, and management consulting. Our clients face increasingly complex challenges and new opportunities. They rely on our expertise across critical areas where we are market leaders and where our scale and specialization are a distinct advantage. Last quarter, we introduced Thrive, a growth program aligned with our vision and core principles. We expect it to provide greater financial flexibility and organizational agility over the next three years. Thrive is already unlocking the capacity to invest in emerging areas with meaningful economic opportunity such as digital infrastructure, health care, private capital, insurance capital strategies, and energy. It's also enabling us to increase investment in frontline talent and integrated solutions across our businesses. With Thrive, we can more powerfully and efficiently invest in one brand. Two weeks ago, we officially launched the new Marsh, ringing the closing bell at the New York Stock Exchange and introducing our new ticker symbol MRSH. Our new expanded Marsh brand better supports our business strategy and simplifies our value proposition for clients. This was highlighted at the World Economic Forum meeting in Davos last week, where Marsh colleagues met with government and business leaders. Together, we discussed geoeconomic confrontation, AI and digital infrastructure, health and longevity, investment strategies, and resilience and transformation in an uncertain environment. The client and even societal impact that we can have when we bring our full capabilities together under the Marsh brand is a sustainable advantage. Another important part of Thrive is the formation of business and client services. Through BCS, we're building a data and technology ecosystem that harnesses AI and advanced analytics to improve client outcomes and drive operational excellence. While we've improved efficiency through technology and moving workflow to cost-effective locations over the years, BCS is a fundamental change in our operating model. It accelerates expense savings and investment in AI and automation. BCS has introduced dozens of AI-driven productivity tools, and we're ramping up adoption to give our colleagues an edge. We're also focused on launching one-of-a-kind technologies. Client-facing technologies such as Centrisk and AIDA, which I've mentioned on prior calls, We see strong growth potential in client-facing technology, virtual agents, and chatbots. I look forward to continuing to share our progress on Thrive in the quarters ahead. Turning to market conditions, we continue to see a competitive insurance and reinsurance environment. According to our analysis, rates were down 4% in Q4, driven largely by property. This follows a 4% decline in 2025. As a reminder, our index skews to large account business. Rates in the US were flat. UK, Canada, and Latin America were all down 7%. Europe and Asia declined mid-single digits, and the Pacific region had double-digit decreases. Global property rates decreased 9% year over year, compared with an 8% decline in the prior quarter. Global financial and professional liability rates were down 4%, while cyber decreased 7%. Global casualty rates increased 4%, with US excess casualty up 19% reflecting ongoing pressure in the liability environment. Workers' compensation decreased 1%. In reinsurance, the property cap market continued to soften. As reinsurers pursue growth by deploying more capital, price decreases accelerated at January 1. Seedents achieved double-digit rate reductions for non-loss impacted cat placements. Demand increased 5% to 10%, depending on region and segment, with buyers seeking better risk sharing such as aggregate and other covers. In casualty, we continue to see price increases driven by rising rates in the primary market, which has made it an attractive growth opportunity for reinsurers. The cat bond market had another record year, with 86 new bonds issued totaling more than $24 billion in limits. Dedicated reinsurance capital is projected to increase 9% to $660 billion at the end of 2025, driven by growth in traditional and alternative capital. With ample capacity, including new casualty sidecars, reinsurers are seeking profitable ways to deploy capital. Turning to health trends, our surveys indicate medical costs are expected to continue to rise in 2026. In the US, we are estimating a 7% increase, while other regions of the world will experience high single to low double-digit increases. We continue to help clients balance cost reduction measures with their need to maintain high-quality benefit plans. As always, our focus remains on helping all of our clients navigate these dynamic market conditions. Now let me turn to our fourth quarter financial performance and outlook, which Mark will cover in more detail.
Mark McGivney: Thank you, John, and good morning. Our fourth quarter results represented a solid finish to the year, reflecting our strong position and execution despite a more challenging environment. Consolidated revenue increased 9% to $6.6 billion, growing 4% on an underlying basis, with 2% growth in RIS and 5% in consulting. Marsh risk was up 3%, Guy Carpenter grew 5%, Mercer increased 4%, and Marsh Management Consulting, which was formerly reported as Oliver Wyman Group, grew 8%. Adjusted operating income grew 12%, and adjusted EPS for the quarter was $2.12, up 10% year over year. We also repurchased $1 billion of our stock in the quarter. Looking ahead, despite headwinds from lower interest rates and decreasing insurance and reinsurance pricing, we're well positioned for another solid year. We expect underlying revenue growth in 2026 to be similar to last year. We also anticipate continued margin expansion and solid adjusted EPS growth. Of course, this outlook is based on current conditions, and the economic environment could change materially from our assumptions. In summary, we're pleased with our 2025 performance. We executed on our strategic objectives and continued our track record of strong results. The Thrive program will drive growth through investments in talent and AI, strengthen our brand, and generate greater efficiency. I would add that this is my fortieth year in the business world. I've never seen such a complex environment for our clients. While we are not facing one global crisis, we are in an era of polycrises. Ground wars, trade wars, culture wars, social unrest, AI disruption, and extreme weather are all creating enormous challenges for businesses. But there's also opportunity in the complexity if clients can anticipate the environment, seize the potential of AI while managing the risks, and have the right advisers to guide them. It's why I'm so optimistic about Marsh's future. Our perspective shaped by one hundred and fifty-five years of helping clients build the confidence to thrive sets us apart. Our ability to see the risks and opportunities and support clients with advice and solutions will benefit them and make our relationship invaluable. With that, I'll turn the discussion to Mark for a more detailed review of our results.
Mark McGivney: Thank you, John, and good morning. Our fourth quarter results represented a solid finish to the year. Reflecting our strong position and execution despite a more challenging environment. Consolidated revenue increased 9% to $6.6 billion, with underlying growth of 4%, which came despite a headwind from fiduciary interest income. Operating income was $1.2 billion, and adjusted operating income was $1.6 billion, up 12%. Our adjusted operating margin increased 40 basis points to 23.7%. GAAP EPS was $1.68, and adjusted EPS was $2.12, up 10% over last year. For the full year, underlying revenue growth was 4%. Adjusted operating income grew 11% to $7.3 billion. Our adjusted operating margin increased 30 basis points, and adjusted EPS increased 9% to $9.75. Looking at Risk and Insurance Services, fourth quarter revenue was $4 billion, up 9% from a year ago or 2% on an underlying basis. Operating income in RIS was $830 million. Adjusted operating income was $1.1 billion, up 11% over last year. The adjusted operating margin was 27.6%, up 60 basis points from a year ago. For the full year, revenue in RIS was $17.3 billion, with underlying growth of 4%. Adjusted operating income increased 12% to $5.5 billion, and the adjusted operating margin was 32%. At Marsh Risk, revenue in the quarter was $3.7 billion, up 10% from a year ago, or 3% on an underlying basis. Marsh Risk's underlying growth in the quarter faced tough comparisons to last year's fourth quarter due to elevated claims activity in our Torrance Flood business and the renewal of eighteen-month policies in Latin America. In the U.S. and Canada, underlying growth was 3%, reflecting good new business growth overall and continued momentum in MMA. In International, underlying growth was 4%, with EMEA up 6%, Asia Pacific up 2%, and Latin America down 4%, reflecting the impact of eighteen-month policy renewals. For the full year, Marsh Risk's revenue was $14.4 billion, with underlying growth of 4%. U.S. and Canada grew 3%, and international was up 5%. Guy Carpenter's revenue in the quarter was $215 million, up 7% or 5% on an underlying basis. Growth remained solid despite softer reinsurance market conditions, and came on top of 7% underlying growth in the fourth quarter of last year. For the full year, Guy Carpenter generated $2.5 billion of revenue and 5% underlying growth. In the Consulting segment, fourth quarter revenue was $2.6 billion, up 8% or 5% on an underlying basis. Consulting operating income was $483 million, and adjusted operating income was $550 million, up 10%. Our adjusted operating margin in Consulting was 20.8%, up 10 basis points from a year ago. For the full year, consulting revenue was $9.8 billion, reflecting underlying growth of 5%. Adjusted operating income increased 10% to $2.1 billion, and the adjusted operating margin increased 40 basis points to 21.1%. Mercer's revenue was $1.6 billion in the quarter, up 9% or 4% on an underlying basis. Health grew 6%, reflecting continued growth across our regions, especially internationally. Wealth was up 5%, led by our investments business. Our assets under management were $692 billion at the end of the fourth quarter, up 1% sequentially and up 12% compared to the fourth quarter of last year. Year-over-year growth was driven primarily by acquisitions and the impact of capital markets. Career was down 2%, reflecting continued softness in project-related work in the U.S. and Canada, partially offset by sustained demand internationally and good growth in our workforce products. For the full year, revenue at Mercer was $6.2 billion, with 4% underlying growth. Marsh Management Consulting generated revenue of $1 billion in the fourth quarter, up 8% on both a GAAP and an underlying basis, reflecting solid demand across most regions and sectors. For the full year, revenue in Marsh Management Consulting was $3.6 billion, an increase of 6% on an underlying basis. Fiduciary interest income was $92 million in the quarter, down $20 million compared with the fourth quarter of last year, reflecting lower interest rates. Looking ahead to the first quarter, based on the current environment, we expect fiduciary interest income will be approximately $83 million. We're making good progress on executing our Thrive program. We continue to expect to generate $400 million of total savings, a portion of which will be reinvested for growth, and incur approximately $500 million of charges to generate the savings. Total noteworthy items in the fourth quarter were $210 million and included $112 million of costs associated with Thrive. Interest expense in the fourth quarter was $235 million. Based on our current forecast, we expect interest expense will be approximately $240 million in the first quarter. Our adjusted effective tax rate in the fourth quarter was 22.1%. This compares with 21.3% in the fourth quarter last year. For the full year, excluding discrete items, our adjusted effective tax rate in 2025 was 25.3%, compared with 25.9% in 2024. When we give forward guidance around our tax rate, we do not project discrete items. Based on the current environment, we expect an adjusted effective tax rate of between 24.5% and 25.5% in 2026. Also note that our adjusted effective tax rate in the first quarter last year included a meaningful discrete benefit related to share-based compensation. Based on our current estimates, we do not expect to see a benefit in Q1 this year. Turning to earnings capital management, our balance sheet, we ended the quarter with total debt of $19.6 billion. Our next scheduled debt maturities are in 2026, with $600 million of senior notes maturing. We generated strong free cash flow in 2025 of $5 billion, up from $4 billion a year ago. This reflects the underlying strength of our business and discipline in managing working capital. Our cash position at the end of the fourth quarter was $2.7 billion. Uses of cash in the quarter totaled $1.9 billion and included $444 million for dividends, $481 million for acquisitions, and $1 billion for share repurchases. For the full year, uses of cash totaled $4.6 billion and included $1.7 billion for dividends, $847 million for acquisitions, and $2 billion for share repurchases. I want to take a minute to reiterate our approach to capital management. We've consistently followed a balanced capital management strategy that helps us deliver solid performance in the near term while investing for sustained growth over the long term. We prioritize investment in our business, both through organic investments and acquisitions. We favor attractive acquisitions over share repurchases and believe they are the better value creator for shareholders and the company over the long term. However, we also recognize that returning capital to shareholders generates meaningful returns for investors over time. And each year, we target raising our dividend and reducing our share count. Looking ahead to 2026, based on our outlook today, we expect to deploy approximately $5 billion of capital across dividends, acquisitions, and share repurchases. The ultimate level of share repurchase will depend on how the M&A pipeline develops. Turning to our outlook for 2026, we are well-positioned for another solid year. We currently expect underlying revenue growth will be similar to the level we generated in 2025. We also anticipate another year of margin expansion and solid adjusted EPS growth. With that, I'm happy to turn it back to John.
John Doyle: Thank you, Mark. Andrew, we're ready to begin the Q&A session.
Operator: Certainly. We will now begin the question and answer session. If you have a question, please press 11 on your touch-tone phone. If you wish to be removed from the queue, please press 11 again. If you're using a speakerphone, you may need to pick up the handset before pressing the numbers. Once again, if you have a question, please press 11 on your touch-tone phone. And in the interest of addressing questions from as many participants as possible, we ask that participants limit themselves to one question and one follow-up question. One moment, please.
Gregory Peters: Your first question comes from the line of Gregory Peters with Raymond James. Good morning, everyone. So for the first question, I'd like to go back to your comments on AI and digital infrastructure. And I guess I'm curious how you think the trends of investment in these areas by your clients could affect the long-term revenue outlook for RIS, for the consulting business and the health business where, I guess, there could be some potential rising employment volatility.
John Doyle: Yeah. Thanks, Greg. We're excited about the investment in the digital infrastructure world. We expect roughly $3 trillion of investment over the course of the next five years or so. It's been an area of focus for us for some time. We have a digital infrastructure practice and a global leader and head of it. The investment comes from lots of different parts of the economy. It's not just hyperscalers, of course, and so we've been focused on it. We're quite excited about the investment there. I think you're right. The job market is soft. Right? So at least many labor markets are soft. And so this is a good area for us to be focused on. Our focus, of course, includes risk advisory, risk financing, but also capital management, workforce strategies, energy solutions, community engagement. There's real complexity to the build-out of all this infrastructure. It is a big opportunity. And maybe, Greg, what I'll do is have our business leaders talk to you a little bit about each area and what we're focused on. Martin, maybe you could talk a little bit about what we're doing at Marsh.
Martin South: Of course, John. Thank you.  Marsh Risk has long been a leader in the technology sector, and we continue to build on that legacy with a very strong presence in the digital infrastructure landscape. This includes the fabrication plants, data centers, ancillary services, builders, designers, communities, beyond that, power and energy and supporting operations. Over the next five years, it's estimated that between 2,000 to 3,000 data centers will be constructed worldwide. We're already well on the way to establishing our preeminence in this ecosystem as a trusted partner. From our calculations, in '25 alone, Marsh US had the leading market share of the $205 billion in data center construction package. In Asia, we're the clear leader serving six of the largest foundry businesses, the four largest memory IDMs, the largest semiconductor tool manufacturers' plants. As a trusted risk adviser, our capabilities support clients with builders risk property insurance, ongoing origin capital facilitation. We're supporting clients with asset revenue contract, what we're calling our life cycle work, supply chain issues, assessing revenue streams, reviewing contractual obligations. We recognize that insurance capital capacity is a critical factor in supporting growth. And to address this, we're collaborating with Guy Carpenter and insurers to develop innovative capacity solutions. For example, the Nimbus facility, which just this week doubled its capacity to $2.7 billion. All of this underscores our preeminence in the digital infrastructure space, our commitment to helping clients manage the risk in one of the most dynamic and fast-growing sectors globally. We see tremendous possibilities ahead and are very well positioned to capitalize on them.
John Doyle: Thanks, Martin. Dean, how are you supporting the effort at GC?
Dean Klisura: Thanks, John. Greg, as Martin said, I think this is a significant new business opportunity in 2026. For both cedents and reinsurers. There's been estimates of up to $10 billion of new premium entering the market in 2026 because of these opportunities. And the market needs more capacity. No cedent is going to put up billions of dollars of capacity for a single location risk. So that's a real issue. All of our clients want to write data centers. Across 10 plus products globally. But they require additional reinsurance protections. Everybody's concerned with accumulations in portfolios, and we're solving that right now for our clients. And I think we need to bring new capital to the market. It's not going to just be traditional reinsurance capital. The introduction of third-party capital and securitizing some of these risks via sidecars and other vehicles is going to be critical. These are going to have to be deep-pocketed investors given the size of these risks. But we think this is the single biggest new business opportunity in 2026.
John Doyle: Yep. Thanks, Dean. Greg, I talked about the abundant capacity in the market driving the price down a bit, but there are segments where the industry is stressed. Pat, how about at Mercer? What are we doing there?
Pat Tomlinson: Yeah. Thanks, John, and thanks, Greg. I appreciate the way you asked the question and how it had to do with employment and talent. On the data center infrastructure side, in that ecosystem, what we're seeing is employers need to think really strategically about their talent to be able to drive these large programs. Unique skills that are involved are evolving fast. Critical talent is in limited supply. So things that we're doing are workforce planning projects, skills assessment and development, a lot of mobility and rewards, and healthcare plan designs all on top of clients' minds out in the field right now. Martin mentioned an Asia specifically, and I will say that's an area where there's heavy, heavy focus on this. A couple of examples of some of the things we're doing for clients on project size, We're working on in the semiconductor industry, around large global mobility policy redesigns. Enabling overseas expansion If you think about the expansion inside of the data center ecosystem and the fact that it's going much more global, whereas a lot of that was more local before for the Asian companies, they're really thinking about those global mobility and how to get people with the right skills to the projects that they need all over the world. And then you also think about the talent change that's happening and upskilling the current talent. So we've also done some really large technical skills design projects for some clients to assess and develop the skills they'll need in the workforce. And that goes across the ecosystem. It's not just the data centers themselves. If you think about the manufacturers of many of the supplies that go to building chips, the gases, the raw materials, we're seeing projects really across the spectrum there.
John Doyle: Great. Thank you. Nick, how about at Marsh Management Consulting? How are we helping our clients?
Nick Studer: Yeah. I think it's well covered by my colleagues, but maybe just sort of put a wrapper around it. Our portfolio is totally unique. Both in terms of the advisory businesses that exist across all four of our businesses but also the strength and depth of Marsh Management Consulting within which sits Oliver Wyman and Marsh Business. And we have the ability to be very integrative not just in the construction of new data centers, but in the 90% of existing data centers that are needing to become AI enabled. So we're working with colleagues across our businesses to help manage that transformation, integrate strategy risk, and execution planning. We're also seeing strong demand in our energy practice around power, around grid strategy, around supply chain resilience, around the navigation of regulation. And one of our biggest capability practices around cost Most of the cost work we're doing at the moment is being done to fund investments in growth and to fund investments in both resilience and in AI and in this whole space. So we really bring a uniquely integrated set of capabilities.
John Doyle: Thanks, Nick. Sorry, Greg. That was probably a little longer than you expected, but we're excited about the space. We have a unique breadth of capability, and we see it as a real meaningful opportunity going forward. Do you have a follow-up?
Gregory Peters: I absolutely do. And that was good detail. So I guess I'd like to zero in on the headline in reinsurance, in particular, more broadly speaking, where we're seeing some pretty strong rate reductions. And, of course, that's excellent news for your clients. But on the other hand, when we're sitting back here on the outside looking in, that looks kinda scary from the potential of organic revenue growth. I'm mindful that you talked about increased demand, but I'm hoping you can just reconcile the moving parts as we process these pretty dramatic rate decreases in reinsurance.
John Doyle: Yeah. Yeah. No. Thanks, Greg. I'll ask Dean to talk a little bit about it. Obviously, we don't guide by business, but we had a decent finish to the year, and a good year overall at Guy Carpenter, you know, in what was a soft market last year. And so we expected a challenging market into 2026. Certainly, the first of the year would indicate that we're getting kind of what we expected. As you mentioned, it's good for our seedent clients, which is terrific. We have seen demand pick up in some spots, which we didn't see much of last year. So, we're excited about that, but we're also focused on some different areas to advise clients on in the reinsurance capital space. So, Dean, maybe you talk a little bit about what you're seeing.
Dean Klisura: Yeah. Thanks, John. And, Greg, you touched on the headlines. They've been well articulated. Property cat pricing rate environment will certainly be a headwind as we move through 2026. In addition, the interest rate environment. You know, that said, I remain really upbeat on the fundamentals of our business. With our talent and capabilities, our data and analytics platform is a key differentiator. We continue to attract top talent at GC. We've grown our headcount for five years in a row and made some really big-time hires in the marketplace that are making an impact on the business. Despite all this, Greg, we had record new business in 2025. And a really strong fourth quarter of new business, and we feel good about that momentum. I would highlight a couple of things. We're seeing a lot of diverse areas of new business. I've spoken in the past about capital and advisory, our investment banking group, never more impactful for our clients with the flow of third-party capital into the marketplace right now. I highlighted that in data centers. We're winning impactful engagements from our clients around M&A advisory, raising third-party capital, fairness opinions. You've read a lot about sidecars. Billions of dollars of new capital flowing into the market for the creation of casualty sidecars. We're right in the middle of that. A lot of client interest, as you know, around Lloyd's platforms. Quite a bit written about that. Structured solutions, obviously, a red hot cap bond market. So there's a lot to think about that. And we think more broadly, we think the casualty market now is a clear growth opportunity for brokers and reinsurers. Even though renewal outcomes were in line with expectations, we think this is a true area of growth. Martin talked about 19% rate increases in casualty in the fourth quarter. That's flowing straight through to quota share contracts. In our portfolio, which is the majority of our portfolio, you think about casualty sidecars, third-party capital, everything happening in the casualty world, we're seeing strong growth. In our casualty portfolio at one-one. So we think we have plenty of sources of new business growth and opportunities for growth that maybe didn't even exist a year ago.
John Doyle: Thanks, Dean. So lots for us to work on there, Greg, and we will have headwinds, obviously, from the pricing market in property cap, but lots of areas of growth for us to get focused on. So, Andrew, next question, please.
Operator: Thank you. Our next question comes from the line of Mike Zaremski with BMO.
Mike Zaremski: Hey, great. Good morning. Maybe back to thinking about all your good commentary, both today and in the past about AI and just expense initiatives, including Thrive. When we think about Thrive, would you say that that encompasses a lot of the new AI technologies that you all are deploying, or should we expect kind of a more to come? You've had a number of companies specifically guide to how AI could change their headcount numbers. So just curious if there's overlap there, or maybe you'd expect something separate announcement in the coming quarters or years.
John Doyle: Well, Thrive, as I mentioned, Mike, is a growth program. It'll certainly fuel efficiency and help us with margin expansion, but it's also going to enable us to accelerate investment. You're asking about AI specifically, but also investment in market-facing talent that will help us grow our company. But bringing VCS together, our operations, and technology teams together, under the leadership of Paul Beswick and learning from and exploring the best technologies that have existed in each of our businesses, bringing them together, bringing some scale benefits to it, will accelerate the path that we're on. We're excited about that path on AI. We've introduced dozens of productivity tools to our colleagues. We're early movers on this. Paul and his team have done a terrific job. We'll continue to introduce new product tools, but we're also quite focused on ramping up production. We need more of our colleagues to become power users of those tools, and that will drive further efficiency for us. And then on the growth side, we're excited about that too. I mentioned Centrisk and Ada during 2025, two market-facing tools. We have others in development that are SaaS-like models that will drive revenue growth for us over time. So we're excited about that. And also investing in tools that will make our producers more efficient. In terms of jobs, clearly, there are job families that will be more impacted than others. But for the most part, these tools are going to make our people better and more efficient and able to serve clients in a better way.
Mike Zaremski: Okay. That's helpful. My follow-up is on your organic growth comments for the coming year. I think it's good to hear sentiments fairly poor on the overall sector. So is it fair for us, if we look at the current quarterly organic trend line, should we expect consulting to lead the pack on organic while maybe risk runs a bit lower given the backdrop in P&C? Or do your enthusiasm about data centers, for example, or etcetera offer upside to brokerages 26 progresses? Thanks.
John Doyle: Yeah. Look. Obviously, we had slower growth in the fourth quarter in RIS than we did earlier in the year, but it's a quarter. We had a good year of growth overall. Think about Marsh Risk, it's a 155-year-old business, maybe more relevant than it's ever been. We had 15% GAAP growth in Marsh Risk last year and 4% underlying growth. So we know how to grow our businesses. Every year creates its different challenges and opportunities. Wasn't trying to guide to strength in one area. We see good opportunity across all of our businesses. I think maybe a little bit more color on 2026. As I said, I see a similar environment to 2025. From what I see, it's an uneven economy. Mentioned some areas of focus. We talked about digital infrastructure, for example, but it's about healthcare and energy and some other areas, private capital that we see areas for real growth there. We will see headwinds from pricing and interest rates. We expected that. It's the good and the bad of the geopolitical environment. Right? Any of us who may have hoped for a calmer 2026, I think less than a couple of weeks in, we knew that that wasn't going to be the case. But we've all built muscles and skills around navigating those environments. So I'm optimistic about 2026. Whether it's the industry sectors that I talked about, MMA is strong and front-footed. We've now got the team from McGriff that makes us better and stronger, and, the team has settled there. Thrive again is, that capacity engine for us to drive earnings growth, but also investment in talent and technology that will sustain our growth over time. The complex macro environment, our unique capability set, as I mentioned, I was in Davos last week. A lot of discussion, of course, about our risk businesses, and our clients are quite satisfied with the work that we do there. A lot of discussion was around our capabilities at Marsh Management Consulting and Mercer. So a lot of good discussion there. And so and then we have a strong balance sheet, I would I would point out as well. And as you know, M&A is a core competency of ours. We have a strong pipeline. So we're excited about that and think there's a lot for us to get after in 2026. Thank you, Mike. Andrew?
Operator: Next question, please.
David Motemaden: Our next question comes from the line of David Motemaden with Evercore ISI.
David Motemaden: Hey. Thanks. Good morning. John, you spoke last quarter just about the talent situation. You know, some teams that have left. And I'm wondering if we're seeing any of that impact in the results this quarter specifically within the U.S. and Canada? And then how we should think about that in 2026 but also thinking about some of the teams that it sounds like you guys are going to be hiring. So I'd be interested in, what are some of the focus areas to maybe offset some of that headwind from the teams that you lost?
John Doyle: Yeah. Thanks, David. Look, overall from a talent perspective, we have an excellent brand in the market. We're 95,000 people strong. And growing, by the way. Our colleague retention remains strong. In fact, it's above historic norms. Our colleague engagement scores and we're in the business of advising clients around colleague engagement. Our colleague engagement scores are exceptional. Our talent strategy, which is supported by a colleague value proposition, is all about making our colleagues be their best at Marsh. Be their best inside of our company. And so I feel terrific about that, and I'm very, very confident that we have the best and deepest teams on the field. We have a culture that sets us apart. We're collaborative and team-based. And our colleagues are supported with the best teammates in the world. And the best tools in the world. And so we're not a place for mercenaries. You know, to be clear. And we embrace a competitive market for the talent. We added to market-facing talent in the aggregate last year. Obviously, it's up and down in different parts of the world. We try to manage that according to opportunity. The team dynamics that happened over the course of last summer aren't helpful. Of course, but they're not material to our results. It becomes a bit of a distraction and of course, again, given our brand, we're able to get back at it. So we added to talent last year. We're going to add again to the market-facing talent on the field. And so I feel good about how we're positioned. And I would also note that if there are folks out there that are either going to violate their covenants or steal information from us, I'm going to call you out. I'm going to do everything I possibly can to hold you accountable. Do you have a follow-up, David?
David Motemaden: Yeah. I do. Thanks for that, John. I appreciate it. And then just on the I think I heard $205 billion in data center construction values that Marsh US handled the leading market share in 2025. I mean, it didn't look like that had a meaningful impact on the results with the 3% underlying growth for the year. Is that something we can all look at the hyper scaler CapEx and try to do the math? But is that something you think is going to have a material impact on the growth in 2026 and it's just going to get offset somewhere else? But I guess I'm just trying to square some of the comments that you made just with the stable underlying revenue growth outlook.
John Doyle: Yeah. Look, David, it's hard to look that far ahead in this environment. Given think about all the things that have happened just in the last thirty days. But we're excited about the investment in digital infrastructure more broadly. We very much believe that we're the market leader in it. Some of the investment that happened last year happened, and we're 4% or better underlying growth in all of our businesses last year. So it was a factor in our results last year, but there's much more in front of us than is behind us in that build-out. And so we think we're well-positioned to help clients invest and invest wisely. So thank you. Andrew, next question.
Operator: Thank you. And our next question comes from the line of Brian Meredith with UBS.
Brian Meredith: Yes, thanks. John, I was hoping you could talk a little bit about ex the whole data infrastructure stuff. What are clients' insurance budgets looking like in 2026? Are they looking to maybe increase the amount of coverage they're buying given some of the price breaks they're getting, particularly given a lot of the uncertainty in the world vis-a-vis ‘25 or maybe there's some more uncertainty?
John Doyle: You know, Brian, I mentioned that it's an uneven economy. And so obviously, you look at the US economy, for example, which is where we're most exposed to an economy around the world, the growth ex-digital infrastructure is not inspiring. I mentioned that as background because our clients are all over the map in terms of what they're ready to spend. What I would say more broadly, we talked a bit about pricing in the market, and that's welcome, certainly to our retail clients but also our cedents as well at Guy Carpenter. Welcome relief after several years of price increases. But it's quite clear that the cost of risk is continuing to rise. I mentioned excess casualty pricing in my opening comments. That is a market that's obviously exposed to the liability environment in the US. So liability costs are going up. More and more of the economy is exposed to extreme weather. And then I talked about healthcare costs. So all of those factors, while prices may be down at least in the property casualty markets and reinsurance markets at the moment, eventually, those costs will have to catch up with inflation. We're advising our clients to buy more coverage. Particularly in casualty, given what's happening and the increase in the number of nuclear verdicts, growth in litigation funding, and all the factors that are driving meaningful inflation in liability-related costs. So we're advising them, but many don't. Many are looking to harvest the savings and if they're in an industry that's in a lower growth mode, trying to generate decent earnings, in a tougher growth environment. Hope that helps, Brian.
Brian Meredith: Yeah. That's very helpful. And then the next question, going back to AI. I'm hearing some things in the marketplace that for the management consulting business, formerly Oliver Wyman, that there could be some project-related stuff that actually goes the way of AI and maybe a headwind. Maybe you could kind of talk about that. Is that true? What are the potential maybe revenue losses that you could see at Oliver Wyman?
John Doyle: Sure. Thanks, Brian. So, yeah, obviously, Oliver Wyman had a terrific year last year, and a very, very strong finish to the year and demand is strong. As I mentioned, we had great conversations with both our commercial clients and government clients last week in Davos. But Nick, maybe you could talk a little bit about the outlook and also the impact of AI in our business.
Nick Studer: Yeah. For sure. Maybe just on outlook. First of all, over the last five years, it's been a pretty volatile, fast-changing environment for clients, but also for management consultants. I'm tickled that we just registered our first billion-dollar quarter. Five years ago, we were just a smidgen over $2 billion for the year. So, 75% growth over that period. We think the outlook is robust. If anyone else wants to ask the question, I'm happy to talk about the different segments of the business. But in the interest of time, we've had three of our best ever sales months over the last five months. The pipeline is pretty good. Ultimately, I think in the whole AI transformation of industry, there's a lot of shenanigans going on. A lot of people are claiming AI as a driver for different changes, for headcount reductions and so on. What we see in our business is that the use of AI tools and agents has had a significantly positive effect on productivity. We have leveraged our consulting teams better. But frankly, we're not really being paid for the things that AI can do at this stage. We're paid for helping clients deliver outcomes. Rather than for assembling third-party, the available information or things like that. So within the business, maybe 30% of our work draws on advanced analytics and AI. We've been using AI in that space pre-LLMs, machine learning, and so on for decades. We've responded to that piece of the trend by launching our DNA business. It stands for data analytics, but we think that this kind of analysis is in our DNA. So there's a pun there. The second piece is our quotient platform which delivers AI work for clients, AI transformation for clients. And we do that in partnership with many players in AI infrastructure, with hyperscalers and startups. We have a number of execution and delivery partnerships, and that is the fastest growing part of Oliver Wyman within Marsh Management Consulting. The third is this area you're talking about, which is support for the enhancement and evolution of our own delivery model, through proprietary agents and assistance. That is replacing some tasks. But actually, at the moment, I expect to hire the same or more junior staff members because they are quite AI literate, and they are able to use these tools very, very well in the support of our client work. And then finally, and I think this is a massive trend, now we're doing a lot, as I indicated earlier, a lot of work on performance transformation on cost and efficiency, which is driven by the need for firms to invest in growth and invest in AI. So an industry in flux for sure. But not one at the moment which is experiencing revenue headwinds because of this.
John Doyle: Thanks, Nick. Brian, thanks for those questions. Andrew, next question, please.
Operator: And our next question comes from the line of Jimmy Bhullar with JPMorgan.
Jimmy Bhullar: Hey, good morning. So John, you mentioned a couple of times, I think you expect organic growth in '26 to be similar to last year. My question is specifically on the Marsh Risk business. You've seen a slowdown in growth over the last three, four quarters from, I think, 5% in 1Q to 3% in the fourth quarter. And you had been highlighting the last few quarters some of the headwinds that the business was facing. But it seems like, from your comments you are not expecting an incremental slowdown from here. And I think you're implying that it should be somewhat stable. But is that correct or not?
John Doyle: Good morning, Jimmy, and thanks for the question. Again, we were 4% at Marsh Risk for the year. We cautioned you in the past not to over-index on any single quarter. You know we had 15% GAAP growth at Marsh Risk for the year. So we feel good about that and, obviously, it's a tougher environment. Some ups and downs in different parts of the world, but as I mentioned earlier, we're adding to the talent on the team. We're using AI to boost productivity, but also to make our producers better. We'll see what the economy brings us. I mentioned a number of sectors where Marsh Risk more broadly was investing in. So yeah, we have we're optimistic about our prospects next year. And as I mentioned earlier, MMA is a huge part of our business there now is very much front-footed and executing very well.
Jimmy Bhullar: Do you have a follow-up, Jimmy? Yeah. Just on and maybe just on buybacks. You did a lot more than you've done in a on a quarterly basis, I think, the last several years. And not sure if that was partly a function of the stock price being lower, but maybe just give us some insight into why the buyback amount was as high as it was in 2021.
John Doyle: Yeah. Sure. Maybe I'll ask Mark to jump in on it. But, you know, we've continued with our balanced approach to capital management overall and returning capital to shareholders is an important part of that. But Mark, maybe you can talk about the buybacks in particular.
Mark McGivney: Hi, Jimmy. Thank you. So we did ramp up buyback, obviously, in the fourth quarter, purely a function of the M&A pipeline. So as you saw, we have an active year on the M&A front. We completed 20 transactions or 20 acquisitions, but they were all relatively small. So we only deployed about $850 million capital to M&A. One of the reasons I reiterated our capital management philosophy and approach in my script is just to highlight that there's been no change in strategy. So as we think about $5 billion we're gonna deploy this year, We have our targets for reducing our share count, increasing our dividend. But our bias is to deploy a lot of capital to high-quality accretive acquisitions and our pipeline is very active. So we're hopeful we're going to have an active year. We did three acquisitions related to kind of businesses in Hawaii that we closed on in December that are part of MMA. So, very excited about welcoming that team to our company and as I mentioned briefly earlier, our pipeline is strong. So we're excited to see what opportunities present themselves in 2026. So thank you, Jimmy. Andrew, next question, please.
Meyer Shields: Our next question comes from the line of Meyer Shields with KBW.
Meyer Shields: Great. Thanks. Good morning. John, sort of a big-picture question. Obviously, there's been a lot of news about team lifts and the like. And I'm wondering, are you seeing any increase in the cost of brokerage talent, assuming that even if it's not impacting Marsh's results terribly, we're seeing a lot more movement between brokers?
John Doyle: No. I don't see broadly any more pressure in terms of inflation for comp and then related inflation from this. I think what we've all seen over the course of the last year is some PE-backed businesses that are using, in my view, unethical and often illegal practices to build their businesses out. Anyway, it's an unfortunate thing. I love to compete broadly, and we think mobility for talent in the industry is a good thing. There's no question. I mean, we want to have not just a good front door and a welcoming front door to top talent, but, a measure of turnover is useful to the organization. But let's compete in a fair way, ultimately, and it's been scaled up of late. The best thing for us to do is continue to focus on our clients, building that colleague value proposition that makes us the most attractive place to work in the markets that we operate in, and win on the field. That's what we're focused on.
Meyer Shields: Okay. That's very helpful. And I guess another pricing question. We've seen, I think, a significant deterioration over the last couple of years in the valuation of publicly traded insurance brokers from an M&A front. How long does it take before that filters into M&A multiples?
John Doyle: Yeah. That's a really good question. The market has changed a bit as public company comps have come down over the last six to nine months or so. So I would say the bid-ask gap has probably grown. We've seen some pretty meaningful assets come off the market. We've seen at least one pretty good size deal trade out of, I think, what was a pretty disappointing outcome for the sellers. High quality assets, though, are still kind of insisting on higher multiples. And so, probably contributed to a little less deal flow overall in our sector last year. Yeah, it'll be interesting. And to generalize, it's a generalization, so be careful with it. Still, financial sponsors versus strategic buyers, that's kind of generally speaking where the gaps fall out. So we'll see what the market brings this year. Again, we're quite excited about our reputation in the market, the relationships we've developed, and we see a number of possibilities.
John Doyle: So thank you, Meyer. Andrew, we need to bring this call to a close and I want to thank you all for joining us this morning. I also want to thank the best professional services colleagues in the world for their dedication to Marsh, to one another, and to our clients. So thank you all, and we look forward to speaking to you again next quarter.